Operator: Good afternoon, ladies and gentlemen. And welcome to the Surna Inc. Q1 2021 Earnings Conference Call. At this time, all participants have been placed on a listen-only mode, and we’ll open the floor for your questions after the presentation.  It is now my pleasure to turn the floor over to your host, Surna CEO, Tony McDonald. Sir, the floor is yours.
Tony McDonald: Thank you and good afternoon. Welcome to Surna's first quarter 2021 earnings call. My name is Tony McDonald, I’m the company's Chairman and CEO. Please refer to our investor presentation, which you can see on this webinar. This presentation has been filed with the SEC as of this morning, and is also available at the Investor Relations section of our website at www.surna.com. First ever letter to stockholders in March of 2019, we made a number of promises to our shareholders, one of which was to implement a full Investor Relations program, and establish a robust two-way communications program in the form of quarterly earnings calls open to all members of the investment community and with a short script and fulsome Q&A. We made good on that promise in 2019, but we fell short last year as the pandemic hit and we were compelled to curtail our Investor Relations activities, which cost time and money that had to be prioritized elsewhere. As our business has recovered, we have resumed our Investor Relations activities, and today we are resuming our quarterly earnings calls, with one exception please ask any questions you wish.
Operator: Thank you. Ladies and gentlemen, the floor is now open for questions 
Tony McDonald: As we wait for people to enter the queue, I will field some questions received by email and during the webcast. First question. Is the market for retrofits lower than expected for Surna or not as attractive a market as originally viewed? Answer. The retrofit market has not developed as quickly as we would have preferred, but we still believe that over the long term, it will be a steady market for us. Cultivation facilities are still fairly new and as the age, we believe that opportunities will develop force. Next question. In previous presentations, there was an annual sales forecast of $20 million to $40 million in revenue. Has that changed for 2021? Answer. We do not and have not provided sales forecasts, but we have previously cited revenue goals for the company. And for this year, our goal is around $20 million of organic revenue. We would like to add that much in required revenue as well. But again, that is a goal, not a forecast. Next question. It's just the end in partnership began have any new dehumidifier products been developed, or Surna cobranding the current and in product lineup? Answer. Surna has partnered with and into supply and the dehumidifiers incorporated into Surna design systems. This partnership does not include co development. That concludes the pre submitted questions. Operator, are there any questions from the lines at this time.
Operator: There were no questions from the lines at this time.
Tony McDonald: Very good. Then this concludes today's conference call. We look forward to presenting our second quarter results in mid August. Thank you for your continued interest in Surna.
Operator: An audio replay of this call will be available on surna.com/investor-relations, until May, 27, 2021. You may disconnect your phone lines at this time and have a wonderful day. Thank you for your participation.